Operator: Good morning. My name is Shannon and I'll be your conference operator today. At this time, I would like to welcome everyone to the Park Aerospace Corp. First Quarter Fiscal Year 2021 Earnings Release Conference Call and Investor Presentation. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions]. Thank you.  At this time, I will turn today's call over to Mr. Brian Shore, Chairman and Chief Executive Officer. Mr. Shore, you may begin your conference.
Brian Shore: Thank you very much, operator. Welcome, everybody. This is Brian. Welcome everybody to our first quarter conference call. I have with me, as usual, Matt Farabaugh, our CFO. So, just want to mention that we announced our earnings of course this morning. And if you don't have the presentation up in front of you, you want to go get that, there's instructions in the earnings release itself as to how to access the presentation. Also it's on our website, I think under Shareholders and maybe presentations or something like that. I'm sure you'll find it, if you look. So, you want to get that because that'll make the call a lot more meaningful. Also, there is supplemental information, which is attached, and there’s financial information, which is attached as Appendix 1 to the presentation itself.  So, for those of you who attended or participated or listened to our fourth quarter conference call, which was on May 14, we went into pretty great detail about the virus and the economic crisis and the impact on the aerospace industry and Park. We're not going to go over all that again. I think that would be not that productive. Unfortunately, to have the best context for this call is you probably need to have some reference to the prior call. But for us to go back over everything again, and we’d have a 2-hour call and I don't think anybody is up for that, probably me -- not -- even me included not being up for that. So, we're not going to rehash all of it. We'll do a little review of some of the -- and go over some updates. And then of course we'll answer questions. So, why don't we just get right into it? And I'll going to be referring to presentation and going through it for you when referring to a slide number. So, why don't we move over to Slide 2? Those are -- that’s our forward-looking disclaimer information and you're familiar with it, I would think. But if you have any questions, give us a call and we'll go through that with you. Slide 3, our quarterly results, we're getting right into it. So, we have the history of the quarters for the last two fiscal years, plus Q1 is in yellow at the right hand column. So you can see our revenues, you can see our EBITDA, you can see our gross profit and our gross margin a little bit up above 30%. Unless they’re referenced a little bit downloading the page, what we said about Q1 during our fourth quarter conference call on May 14th. We said our sales estimate was going to be $12 million to $12.5 million. So, we're at $12.213 million. We came in kind of middle of that range. Our EBITDA estimate was $2 million-ish and we did that ish stuff because as we discussed in great length during our fourth quarter call, a lot of uncertainty in our business right now, and in the aerospace industry, so we put that ish on the end of the $2 million. And we came in at $2.364 million. So, I guess that's kind of in the $2 million-ish range. Remember our forecast philosophy is we get forecast. We don't play what we consider to be a game of giving you a low number, so we’ll get to be a hero. We tell you what we think is going to happen, assuming we're going to work very hard the way we can to make it happen. We're not going to make it easy for ourselves. Okay. Let's keep moving here. When we go to Slide 4, our top 5 customers. This is for Q1. And if you remember, these actually are the same customers that were the top 5 customers for last fiscal year. This is alphabetical order. So, we're not commenting on the order, except I think you all know that, MRAS is going to be the top customer for Park. AAE Aerospace, So that's for ablatives, PAC-3 missile. You see that, the picture, nice pictures at top right. And that's the latest generation, what you speak of all the Patriot missile, which is designed to shoot down hostile incoming missiles. Remember, during our Q4 call, I mentioned that we received 25 letters from Department of Defense, from military contractors, saying we're expected to stay open. Well, this might be an example as to why we are expected to stay open. I doubt that the military wants to run out of Patriot or PAC-3 missiles anytime soon. AAR Corp., multiple programs, maybe interiors and things like that, floorboards for aircraft, Gulfstream program is one of them. Kratos, that’s an important customer as well. And we are the main supplier, maybe the sole source supplier, not sure, but main supplier anyway for all the drone programs. Those are tactical drones and target drones including the Valkyrie, which is depicted in the bottom right picture here. Then there's Middle River Aerostructure System, MRAS, which was a subsidiary of GE Aviation, but that was sold last year to MRAS -- sorry, MRAS was sold last year to ST Engineering Aerospace, which is a large Singaporean-based aerospace company. And we have a picture of the COMAC 919, which is one of the -- on to the bottom left, which is one of the MRAS programs. Nordam Group, multiple programs, actually one of the items is GE Aviation for their engines. Another is WeatherMASTER Radoms, which would be for -- I think, for Boeing aircraft, maybe others as well. Let's move on to Slide 5 if we could please. So a little comparison here, kind of interesting I think to look at our pie chart. Remember, last quarter, we kind of took our pie chart, which had kind of more breakdowns and simplified into three key areas, which we thought it would be meaningful in terms of understanding our business. So the top of pie chart is just the pie chart you saw from our last -- fourth quarter presentation, this is for last fiscal year. And we’ve put the revenues on the side just we still want you to have a perspective here. Then we go to our Q1 pie chart, it is very interesting. Remember, Q4, we said we're going to focus on military, that’s one of our objectives. So obviously military percentage went way up, partly because commercial and business aircraft went down, so military obviously went up, but do the math here for a second. Just look at the dollars, forget about the percentages. So last year 35% of the $60 million, that's about $21 million, I think that's the number, in the first quarter 53% of the $12.2 million, that's $6.5 million, that’s the annualized $26 million. So in a very tough market, we actually grew the military segment dollar-wise, not just percentage-wise, but quite nicely. Some of it’s locked, because some of it’s just timing terms of when the programs are produced, because it's lumpy, the quarter when we're producing one program, next quarter maybe not. But nevertheless, nice job by our salespeople, all three or four of them, we have pretty small sales group, because we had -- for sales group, though, you saw the announcement I think a couple of days ago, new sales guy, so that's good. So, let me see if there’s anything else, no. Let's keep moving here. Let's go to Slide 6. So, slides 6 and 7 are really pretty much slides that were in our Q4 presentation. And you see topics as revisited, because we thought, well, let's take a look and see how we're doing. We were talking about in terms of factors that could affect, what will -- the recovery of the different industry segments, aerospace industry segments we supply into. Military, we hear of the supply chain disruption that hasn't affected us really very much. We've heard about some -- for instance, with respect to the F-35, a program we’re not on. Park program seemed fairly strong and stayed so far. And as we already said, it's actually better now. We grew our military business, not just percentage-wise in terms of the pie chart but actually dollar-wise in Q1 as compared to the quarterly rate from last year.  Commercial aircraft, so this is the Big Kahuna for Park. Jet fuel prices, when we spoke about that last time, well that's actually done better. I haven’t checked this morning but yesterday it was low at $40 -- not the jet fuel, the crude was $40 per barrel. But obviously that's will drive the jet fuel prices, meaning the lower prices are a disincentive for airlines buying new airplanes.  Reopening economy, economic recovery. So we've come a little bit of-- what is it? Two months, it’s almost two months, maybe 7, 8 weeks since our last call, and things have developed, so the economy is being reopened. One concern I want to highlight though, is that these core teams that are being put forth by these different governors of different states, I am quite concerned about it, and quite concerned that it's actually been -- it’s actually shut down the economy again, I'm sure you could open up a beauty shop. But most business relies on interstate commerce. And it's become difficult actually with all these orders, all these quarantines that are being ordered by different governors. So I hope that the governors do the right thing for the country and the economy, because if we destroy the economy, then we'll really know -- the world will really know what darkness is. We don't want to do that. So I hope everybody will think about what's best for the country and the world and not just the -- maybe myopic or small-minded about it. It is concerning though. Because the things were getting better in the commercial aviation area, actually a little bit -- more clumpy than people expected. People are getting on planes. I’d say May was better than April, June was better than May, and July was expected to be better than June. But with all these quarantine orders we’re concerned about what's the impact, because you can't travel from one state to another without locking down -- lock yourself down in quarantine for two weeks. It’s kind of pretty big disincentive from doing that -- for doing that. So we'll have to see what happens with that. But I just want to flag, that's kind of a new thing and it's concerning. So I don't know, but I just want to flag that.  Down to the bottom of page, we're not going to cover everything here, just like to say this is really slide from last quarter, we just wanted to update you on it. So generally, the news is actually pretty good. The commercial aviation industry was improving a little bit more quickly I think than most people expected, not to where it was before the crisis but people getting back on planes. Let's see what happens with these quarantine orders.  Single-aisle at the bottom versus wide-body, we covered this a lot. And I think it's pretty well -- pretty clear that single-aisle is going to recover more quickly and more strongly.  Let's go to Slide 7. This relates to business aircraft. Again, a slide from last quarter. Just to update here. Jet fuel prices are probably not much of an issue, reopening economy, economic recovery, yes, what's interesting that -- it’s same kind of pattern. So in terms of business aviation, usage, May was better than April, June was better than May and we’re expecting July to be even better but now there's serious concern about these quarantine orders, so let's see what happens. I spoke to a couple of executives from four different business aviation fields yesterday, different companies, and they both confirm the same thing, which I was surprised about, interesting. They said actually smaller jets have recovery in terms of sales more quickly than the larger jets, larger jet like the Global 7500 which is an important program for Park. This is probably the largest business jet we can buy. So interesting.  That said, well, the individual owner operators, they could write a check for a small airplane. These are not cheap airplanes or like $5 million to maybe $12 million, but the corporations who buy the real big airplanes that cost more than $50 million, they're kind of sitting tight, you're not ready to make a commitment yet, so we'll see what happens. And that was before we had this issue I raised regarding the quarantines. And both the guys said, yes, this quarantine, they're already seeing impact on our business from the quarantines already and it's just -- this is a two to three week event. So this is a real concern. And like I said, hopefully these governors will do the right thing to think about what's best for the country and the world, but we'll see. Let's see.  Okay, so with social distancing, if you factor concerns for commercial aircraft benefits, business aircraft, of course, I mean, obviously, if somebody is in a position to buy an operated business aircraft that's going to be a preference we might have considering the issues of flying on airlines these days.  Well business aircraft recover before commercial aircraft, I do not know that. People have different opinions, that’s interesting topic to discuss. Let's see.  Slide 8, let me go to Slide 8. Let's talk about GE Aviation. We always have to do that, it’s such an important portion of our business. So why we go through the individual programs? Because I think it would be helpful to put GE Aviation in perspective. Obviously, we’ll start with A320neo family and you can read on top the different variants of A320neo family. All of these are LEAP-1A engine and all these are top programs.  So last quarter, we mentioned that Airbus had announced reducing production by one-third. Now, I think the production rate for A320 was maybe 60 a month. I think that's why it's reducing it by one-third. Then there’s something confusing happening, I think last week they said well, maybe 40%. But I read that the difference between one-third and 40% relates to order of how they measure the output on a weighted basis rather than any kind of new cut. So, I think that got some attention, I'm not sure what it means, a little bit vague. Well, one thing I can tell you is, for us, we had been in touch recently, just a couple days ago, I think with my counterpart at MRAS and they received a forecast recently from Airbus and Safran, which actually moves the numbers up. And taking the numbers on, that's not what would be appropriate. I'm not allowed to do that. Move the number up -- moves the numbers up in 2021 actually significantly. And in 2020 as well the caveat of 2020 is that remember the whole inventory thing we talked about last time the burn down. So it's kind of muddy water, it’s not clear how it’s going to impact us in 2020 yet. But those are facts I'm reporting to you.  There's a lot of different information out there. Some of it’s consistent, some is not completely consistent. But now you know pretty much most of what I know. The news on this aircraft is actually positive from what we hear.  Bombardier Global 7500, we just were talking about that with respect to business aircraft with the Passport 20 engines. This one is the biggest unknown for us. I'm not sure what's going to happen with this program. We know Bombardier is pushing the program hard because this is really their big new aircraft. The company has -- it has a lot of investments in this aircraft. Their future is very dependent on the success of this aircraft. And also, even though it's a smaller engine, Park has a lot of content for engine, dollar content for engine on the Passport 20 engines for the Global 7500. This is a question not for us in terms of where things are going in the short-term. 747-8, no change to program rates, not sure how long the Queen of the Skies will be produced, but they're not going to produce at the rate in my opinion. They will produce at the rate which is six airplanes per year. We have 4 engines per airplanes, that’s 24 engines per year. They are going to produce at that rate until such time as they cancel a program. Hopefully they never will. But there's some talk and maybe even it’s trade dots a little bit that Boeing maybe pulling the plug in two years. But Boeing has refused as far as I know, to confirm that, they've not confirmed that news. My feeling is two years is a long time even if it is true. So hopefully somebody else will come in and order some -- these airplanes for cargo. They are not really being sold for passengers anymore. They are just really a cargo sale. So, I believe UPS has a number of them in order, and hopefully somebody else will decide to order some more.  To me, I'm emotionally involved with the 747, it’s my favourite airplane, but also just you know our first shipment on the GE Aviation program, so first program we got qualified on was the 747-8, our first shipment was on, let me think, February 28, 2014 11:00 PM. I'm never going to forget that day or that time. So we hope it lasts forever, just been around for a long, long time, a wonderful airplane.  COMAC 919, this is one I'd say -- I suggest you pay a lot of attention to. This has LEAP-1C engines similar to the A320, a different variant. COMAC is pushing this program forward. Our understanding is it’s actually pushing it pretty hard, maybe part of it is due to trade wars, that makes them even more -- the Chinese even more motivated. This is a real prestigious thing for China. So, if you go to next one, we'll talk about today the COMAC ARJ21 in a minute. That's a regional jet mostly sold within China. This 919, this is not for China, this is for the world. This is to compete with the 737 MAX and A320. China wants to be a player in the global aircraft -- commercial aircraft market. This is their entry into the big time. And there’s a lot of prestige involved for China, not just COMAC, for the country China. So they're pushing this program very hard. I'm not going to give you an estimate as to when, it actually get certified in production. Right now we're doing development work. But you can check their website and see what they say about it.  One little piece of good news is Park’s Lightning Strike Protection materials now used in the program. So it’s good because that means for every unit we have more content. So, this is a -- I think this is a really important, potential program for Park. The picture here is the 747-8, sorry to digress but you’ve seen themselves. I always love this picture. You see the person standing kind of under the two engines. You get a feel for how huge those engines are and how huge these nacelles are, that’s well sculpted trailing edge and nacelles.  Our COMAC ARJ21, that's a regional jet, has also GE engines, CF34-10A engines. This program is strong and proceeding well. Actually, we’re told that the COMAC is trying to move up this program, move up, okay? Not down, up. So obviously the supply chain has to be able to support that, but COMAC is different than the other aircraft manufacturers. They're not going down at all, none. They're going up. They're trying to go up, okay? I just want you to understand that, not like Boeing, not like Airbus. So -- and also this is the next program, we’re told that is to quality Lightening Strike materials. I think, you know this but our Lightening Strike materials are used in the A320 program. We're self-sourced actually at this point on the A320 program, which is good. Let's see, why don't we go over to Slide 9? And -- sorry, the 777X and this is not a good story for us, maybe for anybody. So, remember, last time, we told you all the POs were canceled for the 777X program for the Park's POs. Production schedules pushed out further. Boeing had announced rate reduction for the program. Then Park was recently advised by GE that they do not currently have the funding to continue to support Park's qualification activities. So -- and this is not an MRAS program, it’s a GE Aviation program. Now we have become more pessimistic about this program of late and we had not included in our planning. So, this doesn't affect any of our internal forecasting, basically we are not including anything for this program. We're not giving up yet. Hopefully, GE will get back in the game and come up with the funding to complete the qualification. But we don't know, that's kind of a question mark. But it doesn't play into any of our thinking short-term, let's say this year or next year.  Next slide, on Park -- on Slide 9, Park reached an arrangement with MRAS to maintain baseline production levels to preserve Park’s ability to ramp up production when needed, and this is kind of important. This relates to hot-melt, almost all of our production for the GE programs are hot-melt as opposed to solution. So we were kind of getting some vibes that, -- well, maybe, we were just kind getting instruction -- or shut down production for us for the next quarter or two, because there's so much inventory in the system. So we spoke to MRAS and we said that's not going to work. We need to have a baseline amount of production per month order to keep our hot-melt operation going. We have highly trained crews. And if we shut everything down, we'll lose that 5-year investment in these crews, and I guess what, we need to ramp up. That's not going to work. So they jumped on immediately, I am talking of MRAS. They responded. I mean they didn’t push back at all in realizing the problem. So we reached an agreement, let's say an understanding, it’s not even agreement, a handshake as to minimal amount of production that we will do for per month, and that's by unit. It's not by dollars. That's where we get down to a little forecast for Q2. It's kind of a -- there's a range because we don't know what the dollars will be. It's based upon units because units are what drives the production needs of the hot-melt departments.  Just as you know, we have retained three crews. Now, one of the crews is transferred to solution, and we'll talk about that a little later on when we go to our customer flexibility program, which helped a lot. So, that's what we need. That's our baseline. So, we can ramp up, when we need to ramp up, and we'll get into that in a second, because I don't think that that day is too far off. Now, just for a perspective. Last year -- last fiscal year, our GE Aviation program, $28.9 million, let's say round to $29 million, about 60% of the revenues were attributable to A320 family. But $29 million, let's say there's about $1 million for the 777X program. So let's take it off the list $28 million, that's a nice number because if you divide it by 4, it’s $7 million you get the concept. So last year, about $7 million of revenue per year on the GE Aviation programs. I mentioned that so you can have some perspective on what we're saying is going on this year. So Q1, those are just -- that's an actual $4.1 million, obviously quite a bit down from $7 million. And then Q2, now we're estimating $2 million to $2.5 million, that's based upon that minimal that -- minimum rate that we said we need per month, production rate we need per month in order to sustain and keep intact all the capability that we’ve built over five years with our people, hot-melt department, so that's a very low number. But that's what we said we need as a minimum. Now, what's the message here? That number is well, well, well below the end market requirements. Not based upon an increase, based on what we know now. What do we know now? We know, we talked about A320, we talked about maybe a one-third deduction in A320. We also talked about the forecast, we just got -- it goes up the Global 7500, that's a question mark, we don't know. 787, 747-8, that's not going anywhere, that's flat for next two years. COMAC 919, probably not a factor this year, because they're still doing the development, hasn't certified yet, but pushing forward aggressively. COMAC ARJ21, pushing it up, not down, 777X not a factor. So if you take into account just the end market requirements now, not talking about any recovery at all based upon those specific programs, that $2 million, $2.5 million, that didn’t mean any close. Here is the problem we're facing and the rest of the supply chain I guess as well. My guess, I'm going to give you a guess on this is that, if you looked at just supply keeping up with the end market demand of today, that number is $4 million to $5 million, not $2 million, $4 million to $5 million. And that's a guess, a lot of variables. And like I said, the Passport 20, the 7500 is one of those variables. But I want you to understand this because it’s really key point. So what's going on? Of course, it's the inventory, it's the burn down, it's the inventory everywhere, we talked last time. Now, the whole kind of thrust of the aerospace market was push up, push up, push up, more, more, more, more, and then that already got pulled out from under all of us. And there was left a lot of inventory. So at some point though, the inventory is going to be normalized. And then what? Then the end market is going to have to drive the production requirements. We have to keep up with the end market. So my concern is this, I'll just tell you, I think the supply chain is demoralized, kind of in a survival mode, maybe feeling sorry for itself, maybe not paying attention as much as they should. My feeling -- and this is just a feeling, I could be wrong. Well, sometime, if the market -- let's say the market doesn’t even get approved over the next 12 months, at some point, there's going to be that day of reckoning, where the inventory is normalized and production has to match the end market requirement. My belief is, I could be wrong, that's later on this year. My other belief is that a lot of companies in the supply chain are going to get -- are going to really be caught off guard, because they’re going to be told, well, you've got a problem, you need to double, triple your production. And I think a lot of companies are not going to be prepared to do that. We are going to be prepared to do it, that's why we went to these guys and said we cannot allow our hot-melt capability that we built over five years to be decimated. That's not going to work. We're also working with our suppliers to make sure they're able to support this inevitable change, inevitable unless the market takes a big step down, the end market takes a big step down, the end requirements, assuming the end requirements don't get better. It's just what we have now. There is going to be a day of reckoning, a crossover point. And our production is going to have to go up significantly.  Remember what I said, probably $4 million to $5 million, that's an estimate and we're at $2 million in Q2, that's at base line production level that we've agreed to with MRAS. So then Q3, Q4, that's really going to be a function of when this crossover point happens, and we don't know that. And this again is assuming there is no recovery, nothing gets better. It also assumes nothing gets worse, but assumes nothing gets better. So I will just give you a wild guess. My guess is in Q3 and Q4 that's going to work more like Q1, not like last year’s $7 million. And so that end market is not at that level of $7 million. But that $2 million is not sustainable unless the market takes a significant drop down in end market. I want you to understand these dynamics, because they're really important for Park. I think they're also important for supply chain. Like I said, my sense is that a lot of folks in supply chain are demoralized and maybe feel kind of bad for themselves, and not really paying attention to what they need to think about for their future. Maybe they're in a survival mode or future is if we can make payroll next week, I don't know. So I'm not criticizing people. Everybody has their own issues to deal with. And I'm not criticizing anybody, it’s a pretty difficult time. But I want to make sure you get that. This slide is probably the most important slide for this presentation.  Let's go on to Slide 10. Yes, some of our perspective on commercial aircraft industry. This is just a review. Single-aisle versus wide-body, we kind of beat this to death a little bit here. So there's already the trend in place for single-aisle. I mean, it's kind of like unanimous. Everyone believes the single-aisle is going to recover before wide-body. Wide-body is used for those long international flights. So there aren’t international flights at this point. Basically all these flights are domestic, using this single-aisle, not the twin-aisles. There are three major single-aisle programs, the A320, the Boeing 737MAX, COMAC 919, 1,2,3 check 2 of those three boxes. Those are the boxes we think we want to check. We hear that 737 MAX, they're maybe getting certified again, and get back in business. We hope that they do, we wish them the best. We're not in that program though. So we wish Boeing only the best and hopefully they'll get the airplane certified and flying again. We're not in that program but we're on those other two programs which we believe are the “it” programs. So we believe -- if you're interested in commercial aviation, which we are, you got to be in single-aisle. If you're interested in single-aisle, these are the two programs you want to be on. So it's a Park checks 2 of the three single-aisle boxes. So we already covered that. We believe we're quite well positioned.  And as I said already, watch out for the 919. Because this is a juggernaut, in my opinion coming because it has the full force of not just COMAC, the whole country of China behind it. A very big prestige aircraft for China.  Slide 11. Okay, so what is our strategy and what strategy mean, well, it’s just a fancy way of saying what we plan to do. Okay, so a double down or triple down on commercial aerospace, we're not back -- we're not backing down, we're doubling down commercial aerospace. People want to fly again. And sometimes out of a crisis, comes opportunity. So what do I mean by that? So some airlines are going to innovate and make it fun and interesting for people to fly on them. Make passengers feel safe, and actually look forward to getting on the planes. And some won't. Some will just be in the survival mode. So this is, I think, how capitalism is supposed to work. The ones that innovate, do a good job, they will only survive, they will fly. And the ones that don't innovate, they will get back into defense mode and survival mode, maybe they won't make it. But it's all okay, because that means that the better ones will survive. And this is good for the future of commercial aerospace, commercial aircraft in my opinion. We believe that commercial aircraft will be one of the great -- world's great industries for many years to come. Park -- just run through the presentation, so Park believes single-aisle aircraft is place to be, so we covered that around five times already. Next item, we believe we're ideally positioned on the two most attractive single-aisle programs, we covered that, and we believe the glory days of aviation are still to come, we want to be part of it.  So the timing of the recovery of commercial aviation is uncertain. We don't know what's going to happen, I'm not sure anybody does. We will actually pay attention but we don't know. But to us, it's a little less important. What's important to us is, we think commercial aviation is so important, so critical, such an important industry for many years to come, and we want to be part of it. So if it takes a year to recover, that's fine. Two years to recover, that's okay for us, we just want to be there.  So next item, we want to emphasize and focus on programs and opportunities in military aerospace markets, especially niche programs and opportunities. So we already talked about the fact that our sales in Q1 were relatively good in the military area. What do we mean by this? So we're interested in niche programs, maybe a little more out of way programs, programs a little bit hard to find and get, but they're easier to protect. We're less likely to be interested in a big program like the F-35, because it's so big, it's over budget, it's so late that, it gets a lot of visibility. And there's a government change or something like that, who knows what will happen with these big high visibility programs.  We don't want to be blowing around the wind, we want to be on programs that have real staying power, and are not that vulnerable. So that's what we try to do and it takes more work, it's harder but it's worth it. Use Park’s balance sheet and cash to our advantage, we covered that in some detail in our last quarter calls. Why don't we skip over that, any questions about it, let us know. And we haven’t spoken about this in a while, it's not that it -- being a niche company, it's not that it's not part of us, it's just hasn’t come up in a presentation. Brian Shore told me about this “Culture eats strategy for lunch” Peter Drucker said that I guess, I like that.  So in other words, you can have all kind of great strategies but your culture, our company culture, a niche company culture. What does a niche company mean to us? It's not a generic thing, niche company means something specific to us. It means doing what others are unwilling or unable to do. It means saying yes to what others are saying no. It means not accepting mediocrity, going for greatness. We believe mediocrity is a choice, we believe greatness is a choice too, although it's a more difficult choice to make. If you go for greatness, you need to be prepared to overcome any obstacles and setbacks. And the path to greatness can be a lonely path, because you run across many doubters and non-believers along the way. But that's our little culture thing being niche company. And it's something we're very committed to. It's something that's kind of palpable in our company, we -- something that’s spoken out a lot. And it's something we keep reminding ourselves of that we need to drive ourselves, force ourselves to be the niche company.  Slide 12, financial forecast. So, we withdrew our long-term forecast during our last call. And the reason is simple, as we explained, we just don't know. So, we don't want to just put something out there, just a guess, I mean that’s kind of silly. It doesn't help you, it doesn't help us, doesn’t anybody, it’s just a waste of time. There's so much uncertainty in the global economy and the aerospace industry that it would be just really kind of silly for us to update on long-term forecast. When we think about our long-term forecast generally though, we’re going to still try to go military. We're still going after commercial programs. The impact -- sorry, the commercial recovery, the commercial aviation aerospace recovery is going to impact our long-term forecast because we have so much of our company’s invested in commercial aircraft.  So, at some point, I made this comment last time, kind of interesting to think about. We're not going to -- we're not posting our prior long-term forecast that was withdrawn. But we feel it's more like moving to the right. At some point, we'll resume that, a long-term forecast, we just don't know when, how much of it moved to the right. Now was it a year, two years? We don't know. And we're not going to speculate about that because it’s not worth it. We just don't have really good feel for that. But we feel all the principles and drivers of the the long-term forecast are still in place, just moving to the right.  Our thoughts about our quarters. So, this is kind of interesting. Q1, those are just the facts actual. Q2, so we're going to give you some ish numbers just to think about. For sales, we're thinking about $9 million-ish, EBITDA $1 million-ish. Obviously, lots of uncertainty. So, we got to emphasize that ish part of it which is giving you some perspective. We have a little more than $8 million shipped and booked for Q2. But the issue -- and so at normal times that will be good. We would have too much trouble getting to $9 million, booking and shipping and other whatever, $800,000 or $900,000 for the quarter. But the risk is that the bookings we have could be canceled or pushed to the right. It could be pushed out, and there's a lot of push outs and cancellations of late. So that's why there's a risk, and that’s how we go to the ish part of it. It's really driven mostly by top-line. Once we know what the top-line is, we could figure out the bottom line, more or less.  As far as Q3 and Q4 are concerned, a big, big question marks, partly dependent upon what happens with commercial aerospace industry, probably dependent on when all that inventory is burned down, when that day of reckoning takes place where the industry says, oh, oh, we kind of screwed-up, we stretched this thing out too far and now we're going to scramble to recover, and everybody has got to double their production, that kind of thing. But if you just want something to think about, and I got to tell you, make sure you understand, lots and lots and lots and lots of caveats here because we're just speculating, I want you to understand that, I want to make sure that it's clear, but you may want to just think Q3 and Q4 may look like Q1. But that is very speculative. I'm just putting out there just to help you think about things a little bit. Okay? So, why don't we go to Slide 13, updates on Park, how are we doing? Well, our New York office is open. I guess we went through phase whatever in New York and we were able to open our New York office. So our folks in New York, our small office in New York are doing great. Kansas, continues to be fully operational and they were ready to shut it down. Customer flexibility program, remember I mentioned that. So, we have 75% participation, this is really like cross-trading program. You’ve heard our employee. We have a number of job categories. You should get trained in another category. You have to give a test and get approved, you actually get a financial incentive. So, some of our employees have maybe three or four approvals, but this is really so important to us. Remember I said that we move whatever hot-melt crews to solution. They have -- they already had approval to work in solution. And when things are very unpredictable and very dynamic, it helps so much to deal, to have people move from one department to another, one department to another. It makes us so much more flexible, so much more responsive and so much more productive. And so, it’s helped a lot. We've had no layoffs. We don't like layoffs. It's not part of us. We have reduced our headcount, our people count through attrition and we have let go of some people that we didn't feel like a part but no layoffs. We -- kind of it's something we just feel strongly about. We want people to believe and feel they can build a filled future of the company. So, layoffs are something that almost like against our religion. We're not God. So we can't ever guarantee there will be layoffs but it’s something we're very, very reluctant to do. And so far, we have -- I mean, we have no plans of doing layoffs. And like I said, not Gods, so we can't guarantee that'll never happen, but it's very much -- it’s very much opposed to the concept of layoffs, we don't like it. We want people, like I said to believe they have the opportunity to build a future with our company and laying people off is not really consistent with that concept very much, is it. So, anyway, let's keep going here. Park's people continue to do very well under difficult circumstances. Yes, it's just pretty difficult with all the stress and anxiety in the world. I mean, my advice to those people, don't watch TV very much because it's all bad. And -- but people need to come to work, need to focus and do their job to the best they can, find ways to better every day. As we say, if you come to work, at the end of the day, you've made something better for the company, even small. Everybody we're talking about. That's a good day for you. If you haven't, that's not a good day but tomorrow you come back you’re even more dedicated to make something better. That's what we're all about at Park.  Major expansions, just little update. Remember $18 million of budget, we spent $10 million so far, $8 million to go and expect completion early next calendar year. It's coming along nicely. We had some delays in the winter time with weather, but it's coming along nicely. It really looks like an expansion right now. Let's go to Slide 14, potential significant opportunities for Park. So, I just want to be clear, none of these things are in the bank. These are interest and significant opportunities. So, the B-52, this has been around even longer than the 747, the B-52, the re-engining the B-52 and potential opportunities for Park in connection with that re-engine program. COMAC, that Chinese company is developing a twin-aisle aircraft 929. Like I said, they want to be a player in the global aircraft business. So if you want to be a player you need to have a single-aisle, but you also want to have a twin-aisle wide-body and then JV in Asia. We've spoken about that before. We haven't pulled up recently. We're not just going to bring it up every time. But it's still in active discussion and maybe it’s something that could happen next year. We're still working on it. These three things are potentially big opportunities for the company, although none of them are in the bank. So, it's possible nothing will happen. But I just want to put that out there. Those are big things rather, some big things rather, not all of them. But we still love the small opportunities. There's nothing too small for us. It's funny, because sometimes the small things end up being big things. So if you're arrogant, though, you're not important enough for us, I don't know. I'm not going to pass judgment too much on others, maybe a little bit. But I want to tell you, that ain’t us. That's not how we look at things.  If we're being made to feel like you do not matter, you're not essential, let us know maybe we can help. Can you imagine tell people you're not essential. How long do you tell people you’re not essential? How has that worked? How does that work? It's a very strange world. It's not a world I would ever have expected. So your supplier making you feel like they're doing your favor, doing business with you, that's not very much fun. And we've been there, we know what it’s like, so -- and maybe you want to talk to us. All of our customers are essential to us. So like sometimes I say we're Catholics when it comes to customers, we don't believe in divorce. We take on a customer, we take on a customer for life. They can divorce us, but we'll never divorce them. We never say to customer, you know what, you're kind of small, we got some big fish to fry, go find somebody else. And we know -- we heard a story just recently where somebody in our industry did just that. They got a big program and they told their customers, other customers, go find somebody else and we can't -- we don’t want to deal with you anymore. That is so like icky to us, that kind of thing. We wouldn’t even ever consider doing that, Catholic, we don't believe in divorce when it comes to customers.  At Park, we're continuing to go forward. We’re not letting up. We tend to make this our time, we're not waiting. We're not feeling sorry for ourselves. We're not demoralized. Others may falter, but Park is not going anywhere. Okay, thanks for listening to the long presentation. And now operator, I think we're ready for questions.
Operator: [Operator Instructions]. We have a question from Nick [indiscernible] with NR Management. Your line is open.
Unidentified Analyst : Just had a question on the dividend policy. Is your intention to keep paying the $0.10 quarterly dividend? And I know this is hard to forecast, but at what level would you think you would actually have to be in a situation, where you would burn cash rather than generate cash?
Brian Shore: So at this point, we're not thinking of changing our regular dividend. We discussed that last quarter. So it’s something we continue to evaluate, but our position at this point is continue the regular dividend. That's based upon, we're looking after this year, our internal forecast. So this year, we probably will cover the dividend. We probably have some limited positive cash flow, but it won't cover dividend. But I think we're okay with that. It's important to us to continue the dividend. Now that's not a guarantee, I mean something could change. But that's our perspective at this point. So does that answer your question Nick or is there anything else I can help you with on that point -- on that question?
Unidentified Analyst : No, that’s very clear. One other thing -- and again, I'm looking at -- I am not saying this could happen. But at one point an investor had requested or asked due to considered share repurchase. Now I do believe all that cash is a good asset to have especially in these troubled times. Are you seeing any more opportunities coming up for acquisitions? Is there anything out there that’s looking more appealing in these troubled times? And just to address share repurchase. If the stock were at 6 or 5 or something like that, is that something you might consider? Thank you. 
Brian Shore: Okay. So let's take those questions in reverse. So that's hypothetical, but yes, I mean, or how about one, sure. As the stock goes lower, obviously the share repurchase becomes more interesting. As far as the acquisition mark is concerned, so what we’re advised by the bankers we work is that you probably need to wait another couple of months, maybe the fall, maybe like September, October timeframe for some of these opportunities that kind of come out of the wood work. But we just -- we covered this on our last call, that's why I didn't go into detail in this call. But it's something very important I mentioned just kind of briefly using our cash and our balance sheet to our advantage. But we've been frustrated with acquisitions for a long time, had cash for a while. But valuations just not look right to us. And I think with a bit of hindsight, we were right and the world was wrong. So the inmates maybe running the asylum because we're told, well, if you want to get in the game, you got to pay these multiples and everything. I think I mentioned last time, we looked at companies that were actually where the asking price was maybe 5 times revenue. And there was also 5 times revenue. Not worse, of course, but in many cases we saw the announcement, were quite stunned. We just don't -- and these are not cure for cancer companies. I mean, maybe they thought they were but we didn't.  So what we're looking for is something more central to our business. Something that would be not a direct competitor, would be added to our business, different capabilities, different product lines, but still center to our business, not very tangential. And we've been looking and looking and looking, but we've been frustrated because their evaluations have not been right. And maybe some things we're looking for weren't available as well. We're hoping that maybe opportunities will develop in the next couple months. We're told by the bankers and the investment bankers we work with, they think it’s probably the fall. Because the way they explained it to me is that the sellers have to go through some kind of a process of adjusting their realities and expectations to realize that whatever they thought they're worth before, that's kind of irrelevant. And also some of these companies maybe in financial distress. Because the other factors -- there's a lot of debt in corporate America everybody knows that. And maybe some big high profile companies will get bailed out. But we're not buying those companies. We're buying smaller companies, I mean Park size, something like that. So they're probably not going to have the opportunity to get a lot of help from the government, which is fine. So we're hoping to be optimistic. We're hoping to be able to buy something important had good values, maybe even distressed values. So we're sitting tight. We have seen a couple of things in the last couple of months, but we felt it was early, felt maybe the valuation is still high. And also they're a little more peripheral, not so central in aerospace obviously, well, I shouldn’t say obviously, an aerospace. We wouldn’t look outside of aerospace but that’s central to what we do now. So we look -- I think we decided maybe not for us. So Nick does that help with your question?
Operator: Thank you. Our next question comes from Chris Hillary with Roubaix Capital. Your line is open.
Chris Hillary: Just wanted to ask, with all the disruption that's out there in the industry, do you see that’s creating opportunity for your -- to bid on new business or is it more a situation where everyone is more disrupted and just trying to deal and manage their own business commitments or whatever the pipelines are as they recover?
Brian Shore: I think it's a little bit of a mix, but unfortunately, there's a lot of companies in the aerospace industry right now. They're just I think feeling very defensive and in a survival mode. So that could be a little frustrating. We're doing everything we can. We reach out to customers all the time. We're not going away, looking for opportunities, looking for opportunities. But, it's not just black and white. There definitely are opportunities. I think, especially in the military area where it seems that the funding is still pretty good. So, we have to keep at it. I mean, it can be frustrating sometimes for the sales guys, they’ll call and say, look, you know what -- call a customer, we're not doing anything now, we got no money, we're no funding. We're just trying to survive through tomorrow. Okay, we'll call you back next week. We're not going to go away and we'll make a pest of ourselves.  But there are opportunities and I don't want to be overly generalized, Chris, but I think they're probably more in the military or defense area than the commercial civilian, all the industries are affected by the economic crisis and/or pandemic, but military seems to be doing better. The funding is there. New programs are being initiated, qualifying new suppliers. So, I don't know. Well I guess the answer to your question is not so black and white, as far as I am concerned. It’s kind of a mixed thing. But from our perspective of like I said, we're going forward, we're not going to relent, we're not going to let up and yes, we'll be a pest. I mean, we'll keep on, what can we do, how can we help? Can we help? Sometimes -- I will just say one of the things, sometimes the first answer is well, that’s what we could do, but you need a follow-up question. Well, what do you mean by that? What are your issues, what are you struggling with? Don't accept no for an answer. So I mean, obviously you've got to be polite and respectful, not belligerent. But don't accept no for an answer. In other words, they may not even think there's an opportunity to start a discussion. Wait a minute, what about that over there? Oh, yes, maybe you can help with that. We're looking for little things, looking for big things. I mentioned last quarter there's a couple of initiatives that we're taking on. In other words, we are doing more ourselves rather than forming these things out. And we don't want to be specific because it's kind of sensitive thing. So we're looking at those kind of opportunities at all. Those are not huge ones, but they're nevertheless opportunities. As I just said, small, big, either way it's okay with us.
Operator: Thank you. And I'm showing no further questions at this time. I'd like to turn the call back over to Brian Shore for any closing remarks.
Brian Shore: Thank you, operator, and thank you everybody for listening during the summer, when you probably have other things you might prefer to be doing. So, even though the world continues to be a kind of a challenging place, I want to wish you a really good summer. Hopefully you'll all get away a little bit, get some R&R. And we'll talk to you again, at least in terms of a quarterly call in a couple of few months. But in the meantime, you call us anytime if you have any questions. So you take care and have a great day. Good bye.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.